Operator: Thank you for standing by. This is the Chorus Call conference operator. Welcome to the Kinross Gold Corporation Quarter Two 2015 Financial Results Conference Call. As a reminder, all participants are in listen-only mode and the conference is being recorded. After the presentation, there will be an opportunity to ask questions. [Operator Instructions]. At this time, I would like to turn the conference over to Mr. Tom Elliott, Vice President, Investor Relations. Please go ahead Mr. Elliott.
Tom Elliott: Thank you, and good morning. With us today, we have Paul Rollinson, Chief Executive Officer; Tony Giardini, Chief Financial Officer; and Warwick Morley-Jepson, Chief Operating Officer. Before we begin, I'd like to bring to your attention the fact that we will be making forward-looking statements during this presentation. For a complete discussion of the risks, uncertainties, and assumptions, which may lead to actual financial results and performance being different from estimates contained in our forward-looking information, please refer to Page 2 of this presentation, our news release dated July 29, 2015, the MD&A for the period ended June 30, 2015, and our most recently filed AIF, all of which are available on our website. I'll now turn the call over to Paul.
Paul Rollinson: Thanks, Tom. Thank you everyone for joining us today. Kinross is a strong operator with an excellent track record of consistently hitting or exceeding our targets. Q2 marks the 12th consecutive quarter of delivering on those targets. As of the first half of the year, we are tracking at the high end of our production guidance and below our forecast for all our sustaining cost and production cost of sales. This is particularly notable given the heavy rains in late March which led to the nine week suspension of operations impacting both production and cost at the same. One of Kinross's strengths in addition to its skills and operator is the diversity of its asset base. While unavoidable events temporarily affected one site, we saw strong shines at a number of other operations in Q2. At Fort Knox, production was up significantly year-over-year while cost declined as a result of an increase announces processed from the heap leach, higher grades and lower energy cost. Round Mountain had the best production and cost performance in almost three years, partly as a result of the new continuous improvement initiative to enhance heap leach performance which Warwick will speak to in greater deal later on our call. And lastly, in Russia, the combined Kupol-Dvoinoye operations continue to outperform. As noted in the news release, the region is already very low production cost of sales with $490 an ounce would have benefited even further if not for the timing of gold sales. The timing of coupon gold sales - the additional cost incurred as a result of the heavy rains in northern Chile, and above all, the continuing decline in the price of gold impacted earnings this quarter. The average realized gold price declined by about $100 an ounce year-over-year to just under $1200 in Q2. What I want to underscore however, is that Kinross still generated free cash flow in Q2, as well as in the previous quarter. In fact, we ended Q2 with more than $1 billion in cash on our balance sheet, and as a result we have one of the strongest balance sheets among our peers. We have been able to achieve this because of the very disciplined approach when we first undercut three years ago with the Kinross way forward to maximizing margins, managing costs, and deploying capital. As a result, Kinross is well positioned to whether the current volatility we are seeing in the gold price. The idea that gold producers have little room to maneuver in the current environment is not accurate in our case, we not only continue to benefit from the foreign exchange and lower oil prices, but we remain keenly focused on driving down cost. For example, our supply chain team has leveraged current market conditions to drive down cost for key inputs such as grinding media, tyres and reagents. We have also undertaken a sustained company-wide campaign to reduce working capital which has reduced inventory supplies by $37 million in the last year. We also have a number of other levers at our disposal for containing cost, particularly regarding non-operating discretionary spending. Over the course of the past three years we have made significant reductions in this regard, and we have the flexibility to further reduce spending in the future. Maintaining liquidity and preserving our balance sheet strength has been a key differentiator for us as a company, and will continue to be a priority for us going forward. I'd like to now turn to talk about some opportunities we are advancing for reducing cost and improving margins. As you know, in Q1 we decided to differ the 38,000 ton per day mill expansion to preserve balance sheet strength, and our decision has proven to be a prudent one, since then we have been focused on measures to enhance performance. In addition to a number of continuous improvement initiatives, we are exploring opportunities to optimize no throughput to address the hardness of the higher grade ore. One concept which is currently being analyzed involves enhancing the common using circuit with the installation of additional grinding equipment to improve throughput capacity. In addition to these operational improvements, we are also assessing other options for getting cost down. For example, we have initiated discussions with employee representatives regarding possible cost saving measures including a potential workforce reduction. This is the beginning of a process under more attanian [ph] labor law and we will provide an update when we have further news to share. As I've said many times in the past, Tasiast remains an attractive growth opportunity with significant ounces in the ground. However, our objectives in the near term are clear. We need to reduce cost to make it a sustainable operation, and we need to optimize production capacity while preserving future growth potential. Tasiast's future potential is in addition to a number of promising organic production initiatives that Kinross currently has in the pipeline. These include Perka2 [ph] challenge reprocessor project which is on-track to begin production in Q4. The Chilean oil mine lease extension, and the potential restart of Lacoika [ph]. These initiatives have a number of common elements, they are all quality brownfield projects, they leverage existing infrastructure and they involve relatively low execution risk. These initiatives are part of Kinross's overall strategy which is focused on building a sustainable business that creates value for shareholders within the context of the gold price environment. We believe that we have the fundamentals in place for creating that value, a strong balance sheet, a focus on operational excellence, and a number of organic production opportunities. Those fundamentals underpinned our Q2 results which mark another strong quarter for Kinross and has us firmly on-track to meet our guidance target for the year. I'll now turn the call over Tony for a review of our financial results.
Tony Giardini: Thank you, Paul. We continue to strengthen our financial position despite the challenge of [ph] adding approximately $100 million of cash to our balance sheet in the second quarter. Our results continue to benefit from favorable foreign exchange rates and oil prices. Taken together, foreign exchange and lower oil prices resulted in an estimated benefit of approximately $35 to $40 per ounce to our cost of sales. Year-to-date we've added approximately $45 million of cash to the balance sheet and also repaying $30 million of debt. This has increased our cash to approximately $1.1 billion and reduced our net debt position to $960 million. In July we increased our financial flexibility by expanding the maturity date of $500 million term loan, and a $1.5 billion revolving credit facilities about one year to 2019 and 2020 respectively. As a result, our only significant debt maturities prior to 2019 was a $250 million of senior notes due in 2016. As part of this extension, there was an amendment to the terms of our debt covenant relating to the definition of debt in our net debt-to-EBITDA ratio. If we were to take this amendment into account, our net debt-to-EBITDA ratio as at June 30 as defined in the credit agreement would decline by 24 basis points to 1.02 to 1, this is well within our net debt covenant of 3.5 to 1 overall, as a result of our continued focus on generating cash flow, reducing costs and optimizing our debt portfolio during a solid financial position. Turning now to our financial results. While we continue to deliver on the operational targets, we reported a net loss for the second quarter of $83 million, this is related to three factors. First, our average realized gold price during Q2 is $1,194 per ounce, $91 more than in Q2 2014. Second, approximately 30,000 ounces were produced but not sold in our Russia region during the quarter due to the timing of transportation in the remote region. These ounces were sold in July and we expect to see the benefit in Q3. And third, there was approximately $40 million of costs associated with the extreme weather event in Chile including $15 million of other operating costs associated with unusual activity levels and $25 million inventory write-down. The write-down reflects higher energy cost associated with the use of backup generators and the expected delay in the recovery of ounces over coming months as a result of pure ounces placed on the path [ph]. We are in the process of looking at how much of this amount can be recovered through insurance. Overall, we added to our strong financial position in the second quarter and during the first half of the year. Our focus on maintaining the strength of our balance sheet and our financial flexibility will continue to be priorities, particularly given the current no-gold price environment. I'll now turn the call over to Warwick.
Warwick Morley-Jepson: Thank you, Tony. I'm pleased to share with you the highlights of another quarter of strong operating results. With good production and strong cost performance during the first half of the year, all three of our operating regions we on track to meet or exceed the regional guidance targets. Our Americas region performed well in the second quarter, producing 352,000 gold equivalent ounces at a cost of sales of $785 per ounce. Fort Knox had a good quarter, production increased due to higher grades and the benefit of warmer weather to the performance of the heap leach. Cost of sales declined to $606 per ounce mainly due to higher grades and favorable energy process. The Round Mountain continued very well since it's recommissioning during the first quarter. This along with high grades and proved recoveries has contributed to the increase in production and lower cost compared to the first quarter. As Paul mentioned, we are also realizing the benefits of a continuous improvement initiative at Round Mountain that we initiated in quarter four last year. We identified an opportunity to bring forth a number of ounces at relatively low cost to various improvements to the heap leach such as the optimizing of flow of loaded solutions to the carbon columns, leaching and other leaching operational improvements, and the building of new heap leach paves to place new or close to the liner in order to be clever gold faster. Verica2 [ph] harder old prices, reduced throughputs and lower recoveries resulted in lower production compared with the first quarter. This largely impacted reduction during April and May. We have rectified the issue and saw our performance in June return according to plan. Although the operation benefited from favorable foreign exchange rates and lower power costs, cost of sales increased compared with the first quarter due to the lower production. While Brazil has been experienced a lengthy draught, quarter two we did not experience any toleration during the second quarter. And we do not currently expect any power restrictions for the remainder of the year. We recommenced mining and crushing operations at Maricunga in May following the temporary suspension resulting from heavy rains which occurred in late March. We started to see the impact of this nine week suspension in the second quarter with lower production and higher cost compared to the first quarter of the year. Due to the lack of ore stacked on the heap leach during suspension, we expect the impact to continue during the third quarter with production expected to improve during quarter four. Overall, despite the production challenges resulting from extreme weather event at Maricunga, and the processing issues at Verica2 [ph], the Americas region is on track to meet this production and cost of sales guidance for the year. Our Russia region continues to deliver an excellent performance, and is expected to be at the high end of its production guidance and at the lower end of its cost of sales guidance for the year. Earlier this year we began to increase the proportion of higher grade material going through the mountain, we now processed the equivalent of approximately 1,200 tons of the overall grade to the plant. As a result, production this quarter was slightly higher than quarter one with a combined people Devonial operation producing 191,000 ounces at a cost of sales of $490 per ounce. Our West Africa region produced 117,000 ounces at a production cost of sales of $855 per ounce. Production at Tasiast increased compared to the first quarter, as a result of higher upgrades and more recoveries. Comparing to the same quarter last year, in addition to reduced ounce production, higher maintenance and supply costs resulted in an increase to costs of sales. With Chirano, the operation continues to perform well, the production in line with the first quarter of this year. Cost of sales increased year-on-year due to a higher underground level equipment maintenance cost and higher deal consumption. The West Africa region is on track to be at the high end of its production and lower end of its cost of sales guidance for the year. To wrap up on our operating performance, our operations have delivered a solid first half of the year and we'll remain focused on continuing to deliver on our commitments for the remainder of 2015. We will continue to focus on managing our costs and exercising capital discipline, particularly in this challenging gold process environment. I'll now turn the call back over to Paul.
Paul Rollinson: Thanks, Warwick. So as you have heard from both Tony and Warwick, this has been another solid quarter for Kinross. We continue to deliver on our operational targets, and we continue to strengthen our peer leading balance sheet. Operational skill and financial strength are the keys to running a sustainable business over the longer term, particularly with the volatility we are seeing in the gold price. I'm proud to say that at Kinross we possess both of these attributes. As I said at the beginning of the call, Kinross is well positioned to weather the current environment. We have a well-established strategy that is focused on increasing margins and reducing cost, financial flexibility to adapt to changing market conditions, and we have a track record of doing what we say we are going to do. We will continue to closely watch the gold price and are committed to managing the business in a sustainable and disciplined way. With that, operator, I'll now open-up the line for questions please.
Operator: We will now begin the question-and-answer session. [Operator Instructions] Thank you. Our first question is from Jorge Beristain from Deutsche Bank. Please go ahead.
Jorge Beristain: Hi, good morning guys. I guess my question is just maybe starting with the operating cost, that the guidance was increased from $70 million to $120 million for 2015. Could you break down what the main drivers there were and what you're sort of expecting for 2016 if you could give us some - at least some direction now?
Tony Giardini: Sure, Jorge, it's Tony Giardini. Actually the guidance was increased from $50 million to $120 million, so $70 million change based on basically the three buckets; the first bucket being legal items which resulted around the number of different small items which aggregated together to be about $25 million, tax related provisions, most of them which are non-cash provisions but nonetheless totaled in the neighborhood of $30 million. And then the balance was related - $15 million was related to Maricunga weather event cost which are - which we broke out as part of the discussion. And as we've pointed out, that's an addition to the $25 million inventory position that we took as a result of higher operating cost due to the weather event. And then there is a miscellaneous total of $5 million, we've adjusted some of those costs through the adjusted earnings and broken that out specifically. And our expectation is, going forward we would expect to see these other costs get back in that sort of $40 million to $50 million on that go-forward basis but as we've said, something just - a number of events came up although the second quarter and also looking forward anticipating where we expect things to be. Some of those costs are effectively accruals that may or may not materialize during the second half of the year but we wanted to be prudent in updating the guidance.
Jorge Beristain: Perfect. On Tasiast, could you give us any kind of ballpark as to what the CapEx could be associated with the new grinding equipment and any kind of timeline there?
Warwick Morley-Jepson: It's Warwick here, I could answer that question. Now I think what we're demonstrating is a thought to this is that we're not sitting on our hands as a result of that decision that was made earlier this year. And we really focused onto it as one of increasing throughput production and the other one being at use which we can reduce our cost of the operation. More specifically to you question, the studies that are currently underway, in fact, have just started is really to focus on putting in more combination power into the current plant. It is a process that we've just underwent, it just started, and I'll be very happy to answer the question that you just posed later on in this year when we've got very clear understanding of which option we would like to pursue, and to what extent we can improve the throughput of the plant.
Jorge Beristain: If I could squeeze in one more, could you - you guys have any sensitivity of our reserves to say switching to an $1100 gold price, new month for example earlier had put out a pretty useful graph showing a range of gold prices and their reserve sensitivity. Do you guys have kind of back of the envelope if you were to kind of mark to market, 1100 what the impact of reserves would be?
Paul Rollinson: We’re not there yet, I mean we do have pretty good understanding of our offset and levers we can pull, we have seen this $1100 gold price for two weeks now. As we approach year-end if this gold price persist you know we will be thinking about that as we go into our year-end reserve resource planning and we will remind you though that we’re one of the fewer companies that you fully load our reserves, fully load costing with is attempt like an all-in sustaining cost when we do those reserves but we are not there yet, we will continue to monitor the gold price and we will look as approach the back of the year as to what will happen, of course there is not only gold prices as well, there is FX, there is oil there is a bunch of things that are going to go into that sort of metrics as we decide where the reserves are going to be.
Operator: The next question is from Stephen Walker from RBC Capital Markets. Please go ahead.
Stephen Walker: Just Paul wanted to follow-up with the question as far as how you can manage costs lower in the current gold price environment, as you point out obviously it's only been a couple of weeks wrap as gold price level, when you’re looking at the all-in sustaining thoughts at 250 to 260 an ounce of gold were a $100 lower on average 1100 or even down to a 1000, can you talk a little bit about how much of the cost or how you can take out of the cost structure to maintain a cash margin, you have been able to maintain a cash margin as gold prices are going down here but what levers can be moved here on an operating perspective or an overhead perspective to another $100 an ounce out of the all-in sustaining cost or reduce overall operating cost?
Paul Rollinson: Sure. Look I do - I think all-in sustaining is a good evolution of transparency, it is directional though and we are focused on free cash flow and you know I think it starts with it's really across the Board review of what we can do. I think the most recent example of the kind of thing we can do is [indiscernible] where from the back-end of '13 we drive the cost down by $200 an ounce. As you know we have record years at [indiscernible], Fort Knox and we have done great job with our continuous improvement of continuing to get those cost down. But the other bucket is really in the discretionary spend where we can drive free cash flow and there is a number of broad areas there and discretionary standalone would be capital and I will point out that our capital guidance for the year was 725 and again I guess just to remind you know if we go back a few years that was over 2 billion and we have decisively managed it down. The capital guidance was 725 but I said repeatedly a good assumption for run-rate sustaining capital will be something in the neighborhood of 400 million. Now having said that and it's 500 this year, we did make that point, it's up this year for the late back work we’re doing at [indiscernible] and Fort Knox but a normal run-rate for us would be above 400 million so that gives you a sense of what discretionary on top of sustaining. We have an exploration budget of a 100 million and of course there is overhead and we have made reductions in all three of those areas over the past few years and we still have levers that we can address if we need to on a go forward basis in terms of driving free cash flow.
Stephen Walker: Maybe Warwick, just a follow-up on Paracatu, the comments that mining shifted to the other areas of the pit when you encountered metallurgical characteristics of the ore that were unfavorable, is this just the small part of the pit that, the ore body that had sort of a surprise in the metallurgy, is it something that can be removed as waste or stock pile, is it potentially a greater part of the geological component of that material that could result in higher stripping of ore and impacts to cost or potentially reserves I'm just curious that what kind of potential impact there could be from the change in geology metallurgy?
Warwick Morley-Jepson: Maybe I could share a bit of a good story here for you in so far as understanding the material that we respond - the problem at the very outset was the extent in which we had these very significant [indiscernible] within a portion of the ore body, what we have done since is understood through an improved approach to metallurgical testing of our short term drill holes to understand the extent in which that lending is apparent in that specific area of the pit. What we do going forward first of all we’re not talking about significant area of the pit, but we’re also introducing input crushing to support our stemming requirements going forward in the mining process, a stemming supply and the process comes from way outside of the mining operations at a higher cost and we see ourselves being able to crush that material and actually use it in the mining process hence why while addressing the issue that came about during the quarter as well as improving cost in our mining process going forward.
Operator: The next question is from [indiscernible] from CIBC. Please go ahead.
Unidentified Analyst: If I could Warwick, just on the Paracatu 2 commentary, you’re looking at doing a tailings reprocessing, putting the material through plant one. My recollection was that plant one was about 18 million tons per annum capacity but if it's tailings retreatment do you really need to have the front end grinding on it or are you just utilizing the back-end of the plant?
Warwick Morley-Jepson: If you go back to our blending process of which we are now putting both B1 and B2 ores through both plant one and plant two, net process we did reduce the demands placed on plant one and so to some extent freed capacity in the plant, however we still have a grinding process that needs to be followed [Technical Difficulty] floatation process downstream or commination, and it's that components of that plant that we will be putting to greater use as a result of this reprocessing of the Santo Antonio tails.
Unidentified Analyst: Okay and for those tails, would you be just using hydro mining or how would you present that material to the mill?
Warwick Morley-Jepson: So that’s exactly we’re doing, David. Hydro mining as you appreciate is something that has been used across many mining districts, it's something that we’re comfortable in putting to use and yields and see the commissioning of that towards the latter end of Q3 and the beginning of Q4.
Unidentified Analyst: And just give us a bit of an insight here, what kind of tonnage and grade and recoveries are you expecting to get your guidance of output of 34,000 tons per ounce.
Warwick Morley-Jepson: We did make announcement with those levels of details in our Q1 report but just to reflect that we have an average grade of 0.2 grams across the entire tailings reprocessing plants, [indiscernible] and we would be processing it at in order of about $400 an ounce producing it about $400 an ounce and stay 34 per year and we would expect some of the driven some 11,000 this year.
Unidentified Analyst: All right just touching briefly on cash with the additional grinding, would that be any of the gauges or the acquired in advance of the greenlight for the expansion?
Warwick Morley-Jepson: Well it's a very good question and exactly the point that we our places are right now in terms of valuations. As you know we have very [indiscernible] that was bought per rate case, we also have a more purchase for the same purchase. We’re not wanting to install those units if they are going to be prove to be inefficient but it's certainly part of the evaluation process.
Unidentified Analyst: So relatively speaking it could have a low CapEx side, and of course you will only be looking in the best situation of installation cost rather than equipment as well.
Warwick Morley-Jepson: I want you to suggest that it's a dead certainty that we would use that equipment's. It's still very much work in progress. We need to really get to appreciate the and offerability of those pieces of equipments and the significantly lesser throughput but yes if we can use them the restriction would be to installation cost alone, yes.
Operator: [Operator Instructions]. Our next question is from Anita Soni from Credit Suisse. Please go ahead.
Anita Soni: My question is just regards to the budget at [indiscernible] for the remainder of the year. Could you give us an idea of what you think you’re going to be spending there?
Paul Rollinson: At this point, the biggest component that we’re really looking at the capital spend and it's the remainder of growth capital that we had associated with probably back to these stripping and as Paul indicated when after question about expenditures and how we’re looking at. This question - the focus that we really have right now contain financial flexibility and liquidity and so we’re going to be revisiting some of the expenditures that we have allocated the growth capital and that would likely include some of the capitalized stripping that we’re looking at. So it's something that we’re in the process of assessing overall. The cumulative budget was about I believe $60 million since what remaining the aggregate spending that we had was $155 million for stripping and budget ramp-up. So those will be the break-down that we will be looking at the key point is that we have been cash flow positive for the first half of the year [Technical Difficulty] but we can pull - continue to remain cash flow positive that’s not, it's going to be challenge given the volatility in the gold price. But we’re very focused on maintaining the strong balance sheet that we have right now and that’s how we’re looking at things from budget and spend perspective going into the second half.
Anita Soni: And just in terms of the commentary that you guys made, was it right to have discussions with the Mauritian government on reducing the workforce there. Could you just talk about why that would be necessary, I mean could you not just you know reduce workforce without consulting the government?
Paul Rollinson: Well it's really to be precise it's really more than employee representatives and as required part of the Mauritania Law. So it is a process and that process has started. And that’s really all I can say at this point until that discussion comes to an end. We’re just following the labor law.
Warwick Morley-Jepson: And maybe just in addition to that, in bringing that kind of news to the attention of the authorities in bringing that kind of news to the attention of the authorities is not uncommon in Africa and so we just are doing the prudent thing.
Operator: The next question is from John Bridges from JPMorgan. Please go ahead.
John Bridges: Just following on from David's question, you got a lot of equipment already I guess ahead of the plant, just wondered what's so cash value that might have and might that be helpful in balancing the books in the next quarter or two in your asset sales if you don’t phase it into the plant?
Warwick Morley-Jepson: Well John just to gain back in time, there were a number of purchases that we didn’t make. There were long lead items for the 60K scenario and we have had those on our books obviously with the intent of using as much as we can when we did the assessment of the 38K. We have been able to make sales of some of the equipments, I mean because we were very confident that we did not need it in any further expansion going forward and I would be more specific to generating units which we saw during the course of last year.
Paul Rollinson: It's a good question but the 38 remains a viable option and you know in that we’re there yet, we’re actually contemplating getting rid of that equipment, we have had the volatility on the gold price, the 38. I think not to proceed was a prudent decision given where we have ended up in the gold prices. In the meantime as we have syndicated we’re not sitting on our hands, we’re looking at what we can do working around the existing mill. But we’re not at the point yet where we’re ready to start selling equipment.
John Bridges: I understand this is a difficult question, but also quantum would that represent you know should things get more difficult.
Warwick Morley-Jepson: John, just in round figures we did purchase a number of trucks 13 in fact and we also have three mills one be [indiscernible] and two bulls. So, the estimated value is in around - in that order of 65 million to 80 million, they are about.
Operator: The next question is from Andrew Quail from Goldman Sachs. Please go ahead.
Andrew Quail: Just wondering on Tasiast, you guys are looking at all options, is there a scenario Paul where you see that you might not know that 100% if you undergo the expansion to 38,000 in terms of that?
Paul Rollinson: Yes that’s theoretically right, I think Tasiast has gotten some scarcity value in the world. Right now there aren't very many brownfield opportunities where you can create what I think is a world class production and cost profile with really just building a new mill. So we have definitely had solicited expressions of joint venture interest, but and so that could be a possibility. We’re not there, we are - it's a tough environment I think, we maybe get what might perceived as fair or good value. As we said in the meantime we’re looking at all options but that theoretically is I suppose is a possibility.
Andrew Quail: Second question is on exploration and what you guys, the 100 million do you guys need to, how many much would you spending in Russia and you guys obviously see the significant upside around and how much do you, you know what's the upside and how much is being allocated to Russia, is it 100?
Paul Rollinson: Yes let me just start off and then I will hand over to Warwick. I would say first and foremost off the 100 or so it's actually 95, but 95% of that is Brownfields and goes to increasing reserves and resources that exists in sites. Russia, we believe is very perspective. You’ve seen the results that we have had with [indiscernible] and the parallel of the structure. And we continue to have good interesting regional results there. Russia is about 17% of the total budget and we’re spending about $50 million a year and I think that’s about where we’re comfortable as to what we can spend in a year, given the climate and the field season in that part of the world.
Warwick Morley-Jepson: Yes so that’s, mention of the fact that we have very, very prospective ground, we have a lot of ground that is around our existing operations and we get a lot of support in getting further ground from the government as and when we make applications. So it's a good base of operate as you have seen in our figures.
Operator: The next question is from [indiscernible] Morgan Stanley. Please go ahead.
Unidentified Analyst: It seems like there might be some incremental benefits to your operating cost next year due to current low energy prices and strong dollar because you didn’t realize this year due to hedging or timing of purchase. Can you talk about that a little bit please?
Paul Rollinson: Maybe I will split it with Tony, you can get into a bit more detail. I mean just hedging in general our philosophy, over the last couple of years has been to pull-back on duration and really keep the hedging you know timeline tighter rather than longer and also to reduce the total quantum and again we’re only looking at selective hedging on the cost side. And so in a number of places in the world we actually had, the hedge is running off but maybe Tony just to give a couple of specifics.
Tony Giardini: I think Paul has pretty summed up where we’re going, what we have actually done is we have really been pulling back the duration and we have been doing that for well over a year. So we have continued to benefit from the low energy prices in the current environment although we did have some hedges in place that we’re at levels higher than firm prices, but for the remainder of the year we’re roughly about 66% hedged for 2015 and going into 2016 there are no few hedges whatsoever now. I won't preface that to and that we do have a number of operations where we actually acquire few as a long lead time items. Russia one of those jurisdictions and we’re in the process of looking at completing our procurement process for fuel in Russia but we do expect to have reasonable savings as a result of just the market conditions. Secondly on the currency side as Paul indicated, where we have hedges currently it's really across the ruble, the Brazilian Real and Canadian Dollar and Chilean Peso. The cumulative market to market on these position is at the end of the second quarter was around $35 million. We’re very lightly hedged for 2016 at levels considerably at or considerably above where we’re at. So we’re slowly looking at possibly adding additional hedges on the currency side but, even if we do that we will keep those at a maximum to 50% on a rolling 12 month basis. So they are heading into 2016 will be in good shape in terms of currency and how we look at that and our expectation is that we will get far more benefit of the ruble particularly and to some extent Brazilian Real and just to sort of close off the comment, the year-to-date we have benefited about $33 an ounce on currency moves and oil moves of about $4 an ounce and not inclusive of the hedge positions that we have in place. So currencies definitely do make a big difference to the cost structure and that is going to be a key consideration as we look at the strategies that we’re looking to implement to maintain the financial flexibility, strong balance sheet that we have.
Operator: There are no more questions at this time.
Paul Rollinson: Well thank you everyone. Thank you operator and thanks everyone for dialing in.
Operator: This concludes today's conference call. You may now disconnect your lines. Thank you for participating and have a pleasant day.